Operator: Good day and welcome to the NetEase Fourth Quarter and Full Year 2014 Earnings Conference Call. Today's conference is being recorded. At this time, I would like to turn the conference over to Ms. Brandi Piacente. Please go ahead, ma'am.
Brandi Piacente: Thank you, operator. Please note that the discussion today will contain forward-looking statements relating to future performance of the company and are intended to qualify for the Safe Harbor from liability as established by the U.S. Private Securities Litigation Reform Act. Such statements are not guarantees of future performance and are subject to certain risks and uncertainties, assumptions and other factors. Some of these risks are beyond the company's control and could cause actual results to differ materially from those mentioned in today's press release and this discussion. A general discussion of the risk factors that could affect NetEase's business and financial results is included in certain filings of the company with the Securities and Exchange Commission, including its annual report on Form 20-F. The company does not undertake any obligation to update this forward-looking information except as required by law. As a reminder, this conference is being recorded. In addition, a webcast replay of this conference call will be available on the NetEase corporate site at ir.netease.com. I will now turn the conference over to Mr. Onward Choi, Acting Chief Financial Officer, who will read the prepared remarks on behalf of Mr. William Ding, Chief Executive Officer of NetEase.
Onward Choi: Thank you, Brandi. Before I begin, please note that for the purposes of this discussion, all percentages are based on renminbi. 2014 was an exciting year for NetEase. We made great strides to broaden the scope of our internet services with advancements across our businesses. With our traditional online offerings, we made considerable advancement and expanded the depth of our current games with timely expansion packs. We also entered the mobile gaming space where we succeeded in releasing 12 self-developed and licensed mobile games in 2014. Our mobile presence is gaining momentum, not only with our mobile games, but also through our top-performing mobile news application, where we are beginning to benefit from early monetization efforts. We are also pleased with the growth of our portal and e-commerce service lines. Combined, this games and services offerings produced a 27.7% increase in total revenues for the year. For the fourth quarter revenues grew 42.5% year over year, driven by a 35.7% increase in our online games services, a 22.7% increase in advertising services and a 224.2% increase from our expanding email, e-commerce and others business. Our self-developed games and licensed online games continued to provide a draw for audiences. In the fourth quarter, our online games services revenues increased by 16.4% sequentially. In particular, New Westward Journey Online II reached record user statistics in the fourth quarter. We attribute much of this success to the popularity of the August launch of a new item-based version of the game. Our mobile games have also shown signs of early success. A strong user base has formed for our self-developed mobile battle arena game Battle to the West or in Chinese [Chinese Language Spoken] and mobile 3D action adventure The World HD or in Chinese Tianxia HD, which was adapted from our online game Tianxia III. Both of these games have become highly ranked in China's mobile game market. We also introduced expansion packs for several games in the fourth quarter. They supported solid performances from games such as Fantasy Westward Journey II, Tianxia III, Ghost II and Heroes of Tang Dynasty Zero. Looking at our licensed games, the November launch of the fifth expansion set to Blizzard Entertainment's World of Warcraft, Warlords of Draenor, in mainland China was also met with great player enthusiasm. We are well into the first quarter and 2015 is off to a strong start. We initiated the small-scale commercial launch of Revelations, our 3D oriental fantasy MMORPG, and beta testing for Hegemon-King of Western Chu or in Chinese [Chinese Language Spoken], our 3-D warfare MMORPG, at the beginning of 2015. The early feedback for both these games has been very positive and we are continuing to progress the development. In addition, in January Blizzard's free-to-play online team brawler Heroes of the Storm began closed beta testing in China, and we continue to work closely with Blizzard to bring this and other exciting game content to Chinese audiences. We plan to build on this momentum by introducing additional games and new expansion packs later this year for some of our leading self-developed games. We invite you to look for new upgrades and additional features and gameplay that build on the success of titles such as Fantasy Westward Journey II, New Westward Journey Online II, Tianxia III and Heroes of Tang Dynasty Zero. As we have discussed on prior calls, mobile internet is playing an increasing role in China's expanding internet market. Our expertise makes us well-suited to address the growing mobile preferences and we have made a number of strategic advancements in the mobile space. Our mobile portfolio is expanding and our capabilities in developing and publishing are growing. In addition to our plans to introduce more mobile games this year, we also continue to grow our YiChat user base. During the fourth quarter, we introduced a new 3.0 version of YiChat that supported this growth. The features and functionalities such as free call have been well received by users and are helping us build a strong and active mobile social network. We plan to extend our reach even further by introducing an enterprise version of YiChat that serves small and medium-sized enterprises later this year. In addition, our e-commerce business expanded at a healthy pace in 2014. Turning to our advertising business, in 2014 our advertising services growth was driven by increased market demand, mainly from the automobile, communication services and foods and beverages sectors, and greater monetization of our mobile news application. We also benefited from the 2014 FIFA World Cup. Our top-performing advertising verticals in the fourth quarter were the automobile, financial services and Internet services sectors. Our customers are showing considerable interest in mobile advertising and we plan to focus on this area for our growth in 2015. Throughout the year, we plan to introduce our mobile portfolio of games and services and diversify our offerings. Chinese audiences have a growing appetite for mobile capabilities. Where we believe we can better serve our loyal community and grow our business lines, we plan to bring users more mobile games, including introducing new mobile versions of some of our popular existing PC games, to provide users with entertaining games on the platforms of their choice. We also see an opportunity to further diversify our current online offerings by providing additional services that utilize our capabilities and experience as an online pioneer. In January, we launched Kaola, a cross-border e-commerce platform. Through this self-operated platform and our partnership with Sinotrans to provide speedy delivery services to Chinese consumers by tracing goods from overseas, we can address China's cross-border e-commerce export trade opportunities, which exceeded RMB1 billion in 2014. Through these new offerings and our innovative games and services that we offer on traditional and mobile platforms, we will continue to expand our community and support healthy growth across our business lines. This concludes William's update. Now I will provide a review of our fourth-quarter and fiscal-year financial results. I will primarily focus on the discussions of margins and expense fluctuations along with net profit. Total sales tax for the fourth quarter of 2014 were RMB220.6 million or $35.6 million compared to RMB209.2 million and RMB162.7 million for the preceding quarter and the four quarter of 2013 respectively. The year-over-year and quarter-over-quarter increases in sales tax were mainly due to the increase in our total revenues. Gross profit for the fourth quarter of 2014 was RMB2.5 billion or $400.6 million compared to RMB2.3 billion and RMB1.7 billion for the preceding quarter and the fourth quarter of 2013 respectively. The year-over-year increase in online games gross profit was primarily driven by increased revenues from certain self-developed games, such as Fantasy Westward Journey II and New Westward Journey Online II and various mobile game products. The quarter-over-quarter increase in online games gross profit was primarily driven by increased revenue from certain self-developed, online and mobile games, such as New Westward Journey Online II and Battle to the West as well as Warlords of Draenor, the fifth expansion set to Blizzard's World of Warcraft. The year-over-year increase in advertising services gross profit was primarily the result of strong demand from the financial services, communication services and real estate sectors, and monetization associated with our mobile news application and other mobile applications. The quarter-over-quarter decrease in advertising services gross profit was mainly due to higher revenue related to the 2014 FIFA World Cup in the preceding quarter. The year-over-year increase in email, e-commerce and others gross profit was primarily attributable to an increase in revenue from our e-commerce business. The quarter-over-quarter decrease in email, e-commerce and others gross profit was primarily attributable to the decrease in revenue from our e-commerce business. Gross profit margin for our online games business for the fourth quarter of 2014 was 76% compared to a gross profit margin of 77.2% and 77.7% for the preceding quarter and the fourth quarter of 2013 respectively. The year-over-year and quarter-over-quarter changes in gross profit margin were mainly due to increased revenue contribution from mobile games and licensed games, which have relatively lower gross profit margins as a percentage of our total online game revenues. Gross profit margin for the advertising services business for the fourth quarter of 2014 was 66.8% compared to a gross profit margin of 66.3% and 57.8% for the preceding quarter and the fourth quarter of 2013 respectively. The year-over-year increase in gross profit margin was mainly due to enhanced economies of scale driven by revenue growth. Gross profit margin for the e-mail, e-commerce and others business for the fourth quarter of 2014 was 45.6% compared to a gross profit margin of 49.6% for the preceding quarter and gross loss margin of 4% for the fourth quarter of 2013 respectively. The year-over-year increase in gross profit margin was mainly due to increased revenue from our e-commerce business, which has a relatively higher gross profit margin. Total operating expenses for the fourth quarter of 2014 were RMB1.2 billion or $199.8 million compared to RMB1.1 billion and RMB648.3 million for the preceding quarter and the fourth quarter of 2013 respectively. The year-over-year increase in operating expenses was mainly due to increased selling and marketing expenses for the promotion of our online and mobile games and Blizzard licensed games, our e-commerce business and advertising services promotions as well as staff-related research and development costs, resulting from an increase in the number of employees and average compensation. The quarter-over-quarter increase was mainly due to increased selling and marketing expenses for online games and our e-commerce business. We recorded a net income tax charge of RMB187.9 million or $30.3 million for the fourth quarter of 2014 compared to net income tax charges of RMB197.3 million and RMB49.4 million for the preceding quarter and the fourth quarter of 2013 respectively. The effective tax rate for the fourth quarter of 2014 was 12.8% compared to 14.4% and 3.8% for the preceding quarter and the fourth quarter of 2013 respectively. The year-over-year increase in the effective tax rate was mainly due to the fact that certain of our subsidiaries were approved as key software enterprises in the fourth quarter of 2013. Accordingly, they became subject to a preferential tax rate of 10% for the 2013 and 2014 fiscal years, and the resulting 2013 tax credit was recorded in the fourth quarter of 2013. We also had a net foreign exchange loss of RMB7.1 million or $1.1 million compared to a net foreign exchange gain of RMB2.2 million and a net foreign exchange loss of RMB17.6 million for the preceding quarter and the fourth quarter of 2013 respectively. The quarter-over-quarter and year-over-year changes in foreign exchange gains and losses were mainly due to exchange gains and losses arising from our foreign currency denominated bank deposits and short-term loan balances as the exchange rate of the US dollar against the RMB fluctuated over the periods. Our net profit for the fourth quarter of 2014 totaled RMB1.3 billion or $204.9 million compared to RMB1.2 billion for both, the preceding quarter and the fourth quarter of 2013. We reported basic earnings per ADS of $1.57 and diluted earnings per ADS of $1.56 for the fourth quarter of 2014. Our basic earnings per ADS was $1.43 and diluted earnings per ADS was $1.42 for the preceding quarter. This compares to basic and diluted earnings per ADS of $1.53 each for the fourth quarter of 2013. Now for an overview of the 2014 fiscal-year financial results. Our gross profit for fiscal year 2014 was RMB8.5 billion or $1.4 billion compared to RMB6.7 billion for the preceding fiscal year. The increase in gross profit was primarily driven by increased revenues from our online game services, advertising services and e-commerce business. The increase in online game services gross profit in 2014 was primarily attributable to increased revenues from our self-developed games such as Fantasy Westward Journey II, New Westward Journey Online II and various mobile games as well as from Blizzard's Hearthstone - Heroes of Warcraft. The increase in advertising services gross profit in 2014 was due to a rise in demand, mainly from the automobile, communication services and food and beverages sectors as well as from the increased monetization of our mobile news application and the impact of the 2014 FIFA World Cup. The improvement in email, e-commerce and others gross profit in 2014 was primarily attributable to an increase in revenue from our e-commerce business. Our total operating expenses for fiscal year 2014 were RMB3.7 billion or $594.1 million compared to RMB2.4 billion for the preceding fiscal year. Our operating expenses increased due primarily to increased marketing expenses as a result of marketing and promotional activities for our online games, e-commerce and advertising services businesses, mainly related to the 2014 FIFA World Cup and increased research and development expenses, resulting from increased headcount and average compensation. For the full year 2014, we recorded a net income tax charge of RMB662.7 million or $106.8 million compared with RMB530.6 million for fiscal year 2013. The effective tax rate was 12.1% for fiscal year 2014 compared to 10.7% for fiscal year 2013. The change in the effective tax rate was mainly due to that in 2013 we recorded a one-off tax benefit of RMB304.6 million related to the key software enterprises qualification of fiscal years 2011 and 2012. Our net profit for fiscal year 2014 totaled RMB4.8 billion or $766.6 million compared to RMB4.4 billion for the preceding fiscal year. For fiscal year 2014 we reported a net foreign exchange loss of RMB18 million or $2.9 million compared to a net foreign exchange loss of RMB15.3 million for the preceding fiscal year. The foreign exchange loss for 2014 was mainly due to exchange losses arising from our US dollar denominated bank deposits and short-term loan balances, as the exchange rate of the US dollar against the RMB fluctuated over these periods. Our basic earnings per ADS were $5.87 and diluted earnings per ADS were $5.85 for fiscal year 2014. This compares to basic earnings per ADS of $5.51 and diluted earnings per ADS of $5.5 for 2013. As of December 31, 2014, our total cash and time deposits balance was RMB21.2 billion or $3.4 billion compared to RMB18.6 billion as of December 31, 2013. Our cash flow generated from operating activities was RMB5.9 billion or $944.1 million for fiscal year 2014 compared to RMB5.2 billion for the preceding fiscal year. In addition, as of December 31, 2014, we have a loan from an offshore bank in the principal amount of $90 million that was secured by RMB deposits of the company in an onshore branch of this bank in the amount of RMB614.2 million, which was recognized as a short-term investment. We continue to return value to our shareholders and are pleased to announce that in line with our quarterly dividend policy the Board of Directors has approved a dividend of $0.39 per ADS. We expect to pay this on March 6, 2015 to shareholders of record as of the close of business on February 25, 2015. Thank you for your attention. We would now like to open the call to your questions. Operator, please go ahead.
Operator: Thank you. [Operator Instructions] And we go first to George Meng with Morgan Stanley.
George Meng - Morgan Stanley: Hi. Good morning everyone. Thank you very much for taking my question. Congratulations on a good quarter. I have a question for William, so I will ask in English first and then translate myself. And then I also have a very quick follow-up. So the question is, after successful mobile game launches, how do you think that big companies like NetEase can retain key talents, especially in the small mobile game studios? Or conversely, how do you think big companies like NetEase can actually offer or add value to the mobile games studios, especially those already with hit mobile games? [Chinese Language Spoken]
William Ding: [Chinese Language Spoken]
Onward Choi: So, regarding your first question on this point. Basically we do believe that this was kind of a management-related question. And for NetEase, we do have our own unique management solutions to it, such that we could excel ourselves in the market. And in 2014, we do also see that we have got two mobile games that have been rated as the most successful games in the Apple China app store. And to us, we do believe that NetEase has been very stable all along in these business developments and operations. And we do see that we do possess the necessary skills and the expertise to manage our business going forward.
William Ding: [Chinese Language Spoken]
Onward Choi: So, another supplement that William would like to add is that for the mobile games businesses, although it is a totally new area to us, but we are quite open ourselves in order to share the experiences, to stop at the highest qualities in order to gain to this new business area. And we do see that we do possess a very long-term vision and view to develop our mobile game business, such that we are also prepared to embrace the failures that may happen all along the process. But in the end, we do believe that we would be able to achieve something meaningful in the long term.
George Meng - Morgan Stanley: Okay, thank you very much. And a quick follow up on the PC game growth outlook for 2015. So, what do you think of your growth rate, or if you cannot talk about it, what do you think of the industry growth rate for the PC game going forward in 2015? [Chinese Language Spoken]
William Ding: [Interpreted]. So with regard to our anticipations on the 2015 game outlook or the growth, basically we're quite -- very confident and positive to this growth potentials. And we believe that we would be -- keep the momentum to roll out more innovative products to the market, such that they would also exceed the expectations of our targeted audiences of these games in particular. And we do see that in the upcoming years, like 2015 and even 2016, those will be some critical years for us to get some meaningful returns in that part of the business.
George Meng - Morgan Stanley: Okay, that's very helpful. Thank you very much, Ding-zong.
Operator: Thank you. And we'll now go to Alex Yao with JPMorgan.
Alex Yao - JPMorgan: Hi. Good morning everyone. Thank you very much for taking my question and congratulations on a very solid quarter. The first question is about the sales and marketing which reached a record high level in terms of absolute terms as well as percentage of total revenue. Is it because you guys are doing something structurally different on the mobile in terms of the sales and marketing, user acquisition? Or it's just relatively early stage of building up mobile user base, so over time, this sales and marketing will decline as a percentage of total revenue?
Onward Choi: [Chinese Language Spoken]
William Ding: [Chinese Language Spoken]
Onward Choi: So basically with regard to your question on the sales and marketing expenses, it is true that if you are comparing to the past, this is actually -- it has come to a much higher level for now. But going forward, especially when we are getting into the futures, we will try to think of much better and practical ways to control this in these items. And another point that William would like to highlight is that for mobile games, you are well aware that especially in the Apple Store, there will be revenue sharing of 30% which is a high cost that we have to pay out. And this wouldn't be happened in the past when we are just doing the promotions for our PC games. And so this would be the kind of stuff that we need to pay attentions to.
Alex Yao - JPMorgan: Got it. The second question is regarding Heroes of the Storm which is a mobile type of game. Usually this type of game is capable of generating a very high level of usage, but the monetization tends to be a lot lower than MMORPG. Is Heroes of the Storm a typical such game or you guys will be doing something different in terms of monetization? [Chinese Language Spoken]
William Ding: [Interpreted]. So basically with regard to the Heroes of the Storm, this is one of our major rolled out games in the mobile area. And we do believe that for games like this type, the game experiences would come first before we consider the next step of how good and how effective would be the way to do the monetization. We do look forward that there would be more rooms for adding in more innovative features to the game in order to enrich the game experiences of the players. And right after that, then we will come to a better timeframe of considering the monetization matter.
Alex Yao - JPMorgan: Xie-xie, Ding-zong. [Chinese Language Spoken] 
Operator: And we'll now go to Alicia Yap with Barclays.
Alicia Yap - Barclays: Hi, good morning, William, Onward, Brandi and Cassia. Thanks for taking my questions. Also congratulations on the strong quarter. I have two questions. Number one is regarding your mobile games. So I wonder if you could share with us the percentage of mobile games revenue contributions in the fourth quarter. And also I wanted to also get a sense, are you recognizing all the gross billing for your new mobile games as the gross revenue during the quarter or do you actually have some deferred revenues that push off to the later quarter. And if so, if you can give us the rough difference between gross billing and reported revenue. And also could you share with us the different tractions on the distribution channel, for example, the split between the iOS and the Android and also the split between your organic traffic versus the third party app store. And then sorry about it, this is the last question if I may. Also how do you recognize the iOS 30%? Is that on the cost of revenue or sales and marketing expense? Thanks.
Onward Choi: So basically with regard to your questions, there would be quite a lot of different parts with regard to our performances on the mobile game front. Basically as we mentioned in our last earnings, we have been seeing that there has been a very good and healthy pace of growing for our mobile games revenue contributions in the past few quarters. And going into the fourth quarter it has already get into the 14% levels, which we also feel quite encouraging. And with regard to the revenue recognitions, basically we are recognizing those revenue on a gross basis. And this is also true that while we have some revenue recognized in the current timeframe, we've also got some deferred revenues as well. And with regard to your questions on the distributions of the iOS and Android, I think so far we do see that they have been performing quite evenly, so to call. But we haven't been breaking it down to the extent of percentages on how much they are doing for now.
Alicia Yap - Barclays: And then how do you recognize the channel fee? Is it under cost of revenue or sales and marketing?
Onward Choi: On the cost of revenue. Cost of revenue.
Alicia Yap - Barclays: Okay. And sorry, can I follow up? I may have missed that. You said 40% on mobile games contribution?
Onward Choi: Fourteen, 1-4.
Alicia Yap - Barclays: Fourteen, sorry. Okay, 1-4. Okay, great, great. Thank you. So thanks for the color. My second question is on -- regarding your cross-border e-commerce platform Kaola. So can you give us some color regarding the overall investment amount that you plan to invest for this cross-border e-commerce? And I also wanted to get a sense because this seems to be a physical goods e-commerce platform rather than virtual goods. So what is the rationale for NetEase to enter this cross-border e-commerce? Will that be the principal model or the marketplace? If it's the principal model, how should we think about the margins outlook going forward? Thank you.
Onward Choi: [Chinese Language Spoken]
William Ding: [Interpreted]. So basically I think at this point of time, we are still in the testing phase of this new business initiatives. And so there wouldn't be too much colors that we can add on at this stage. But there is a few core visions or the philosophies that we have to uphold in doing or entering into this new business. Like we would be selling just the goods or the true goods, not the fake one. And then we would also try to source out those value-for-money stuff to put through on that place for our users. And at the same time we are also getting into partnerships and cooperations with different suppliers other than doing it on our self-operating platforms. And we would also be getting into some strategic partnerships with other potential companies as well.
Alicia Yap - Barclays: Okay, great. Thank you -- xie-xie, Ding-zong. Thank you, Onward.
Operator: And we'll go now to Eddie Leung with Merrill Lynch.
Eddie Leung - BofA Merrill Lynch: Hi, good morning. Thank you for taking my questions. I have two questions. The first one is about your mobile games strategy. It seems like in the first quarter, we have seen quite some new games on the mobile side. So I'm just wondering whether there is any seasonal factor behind the quick launch of a number of mobile games in the first quarter? Or is there a change of strategy that you feel more comfortable that in 2015 you can launch many more mobile games relative to the pace of 2014? So that's my first question. And then my second question is about your lottery business. I would like to get an update on the progress of the business. And is there any regulation that we need to pay attention to? Thanks.
Onward Choi: [Chinese Language Spoken]
William Ding: [Interpreted]. So basically with regard to your first question on the mobile games strategies, basically we will be doing it on both the self-developed and licensed fronts. And in terms of the momentum of rolling out the new mobile games, we believe that we would be making sure that those games would be up to our standards or the requirements before we actually launch those new games to the market. And with regard to your second question on the lottery business development, basically it has been doing good. And with regard to the regulatory environment, NetEase has always been following the required laws and rules and regulations in order to operate our business operations.
Eddie Leung - BofA Merrill Lynch: Thank you.
Operator: And we'll now go to Tian Hou with T.H. Capital.
Tian Hou - T.H. Capital: Good morning everyone. William, I have a question related to your mobile game. In Q4, [inaudible] was a great success for you on mobile games. It's also the proven of your R&D capability. I have no doubt that you will continue to gain great success in 2015. However, as any game in the past, in the PC time, we have just like a hit-or-miss driven [ph] game situation. In the mobile I wonder if we are still going to see hit-or-miss type of situation. And if so, how NetEase is going to prevent such up and down from happening in the quarters to come. [Chinese Language Spoken]
William Ding: [Interpreted]. So basically we do feel that at all times the challenges will be present in the market. But the more important thing is that whether the company itself like NetEase ourselves do possess the required persistence and the innovations capabilities and the passions to go for a better quality of our stuff in order to make us in a better position to excel or succeed in the market. And in the end, this is a matter of who would be doing those things much better than the others in order to supply and also to excel in the industry and in the market.
Tian Hou - T.H. Capital: William, I have a second question. It's about your -- how many mobile games in your pipeline in 2015 possibly? [Chinese Language Spoken]
William Ding: [Interpreted]. So the simple answer to it is that this would be a double-digit numbers of mobile games that we are going to roll out in 2015.
Tian Hou - T.H. Capital: So I hope it's 99, William.
Operator: And we'll now go to Jialong Shi with Credit Suisse.
Jialong Shi - Credit Suisse: Good morning, management. Thanks for taking my question. First of all, congratulations on a very solid quarter. I notice -- first of all, a quick follow up on the previous question. Management mentioned 14% of your total revenue, your total gaming revenue was generated by mobile games in Q4. Can you clarify that? And then I have one follow-on. [Chinese Language Spoken]
Onward Choi: This would be the percentage based on the total games revenues.
Jialong Shi - Credit Suisse: Thank you. That is very clear. Also I noticed some popular mobile apps like YiChat, news app and also your Youdao dictionary, are all acting like game distribution channels for your mobile games. I just wonder how effective your proprietary mobile games channels compared to third-party app stores. Does NetEase have any plans to enhance your mobile game distribution capability going forward? [Chinese Language Spoken]
William Ding: [Chinese Language Spoken]
Onward Choi: So there are certain examples that William would like to share with all of you. Basically, you are well aware that for the app store there is no particular reference point with regard to the distribution, not the particular market there. But you're still seeing that NetEase has been doing very well because of our own efforts in those area.
Jialong Shi - Credit Suisse: Thank you for the color. May I ask another follow up? For Kaola, I understand it's still at a very early stage. But I just wonder if management can share any color on your competitive edges in this area compared to your many competitors. [Chinese Language Spoken]
William Ding: [Interpreted]. So basically with regard to our new Kaola cross-border e-commerce business initiatives, first of all, we do have full confidence about our capabilities to act on this front. And we also believe that as the first China e-commerce market, we will be able to do something quite unique and while possessing [ph] the competiveness in the market. And with our focus on the e-commerce businesses, we do see that one thing that we wouldn't be doing is that in terms of the stock keeping units or the SKU, we wouldn't be keeping too many of them. But rather I think that we will try to source and identify those SKU with the highest value for money to our targeted customers or the audiences.
Jialong Shi - Credit Suisse: Thanks for the answer. Congratulations again.
Operator: Thank you. And we have time for one final question from Thomas Chong with Citi.
Thomas Chong - Citigroup: Hi, good morning, William, Onward, Cassia and Brandi. I have two questions. My first question is about the mobile advertising contribution to your online advertising revenue this quarter. And how should we think about the trend in 2015? And my second question is relating to your PC games. Can management give us some color about the user feedback for Crisis 2015, the first person shooter game?
Onward Choi: So perhaps maybe I'll just get back to you on your first question. With regard to the mobile contribution, revenue contributions for the businesses, just as what we have mentioned in prior earnings, basically it is still in the double digits level. And we are also seeing that it has been growing in a very nice and healthy pace which we feel quite encouraging. And going forward when we are now getting into 2015, we are still getting a positive feel about the overall potential that the total business is going to have. And for the second question, just a moment. William [Chinese Language Spoken]
William Ding: [Interpreted]. So basically so far the feedback from this first [inaudible] is quite good.
Thomas Chong - Citigroup: Okay. Thanks, William and Onward.
Operator: And I'd now like to turn the call back over to management for closing remarks.
Brandi Piacente: Thank you once again for joining us today. If you have any further questions, please feel free to contact Cassia Curran, NetEase's IR Manager based in Hangzhou or the Piacente Group Investor Relations. Have a wonderful day.